Mathias Meidell: Hi, and welcome to Hexagon Purus Q2 2025 presentation. My name is Mathias Meidell, and I am the IR Director of Hexagon Purus. I will be moderating from the studio in Oslo. And from the studio, I'm also joined by Group CEO, Morten Holum; and Group CFO, Salman Alam. The agenda for today includes, as usual, the highlights from the quarter, a company update, the financials and the outlook. We will end the presentation with a Q&A session. So please feel free to enter your questions via the function on your screen. So with that, I will pass the word over to you, Morten, who will take us through the highlights of the quarter.
Morten Holum: Thank you, Mathias, and good morning, everyone. Thanks for joining our webcast today on what turns out to be a beautiful summer day here in Oslo. So let's look at the key developments in the second quarter. Number one, the second quarter was weak, 44% lower than last year and driving the LTM revenue down to NOK 1.364 billion. Number two, more positively, we've seen strong order intake in recent months across our product portfolio, which improves demand visibility for the second half of 2025, continued high activity for transit bus and a meaningful uptick in hydrogen distribution. Number three, we expanded our relationship with Hino to supply complete Class 6 and 7 battery-electric straight trucks for the North American market. And we have initiated a process to assess alternatives for the battery systems and vehicle integration business. And finally, number four, we are expanding the cost reduction program by NOK 150 million to a total of NOK 350 million to lower the breakeven point and enable profitability at lower volume. So overall, a weak quarter, particularly for hydrogen distribution, but we see a significantly better second half of the year for the group, and we're well underway with the operational and structural activities to adapt the company to a new reality. So revenue for Q2 '25 was NOK 193 million, which is 63% lower than the same period last year. This is driven by significantly lower deliveries of hydrogen distribution modules this quarter compared to last year. We also had solid deliveries to the heavy-duty truck segment in Q2 last year, which we did not have in Q2 this year. And on the right-hand side, EBITDA was minus NOK 161 million in Q2 compared to minus NOK 97 million in the same period last year. The main driver is lower revenue compared to last year, but EBITDA in the quarter was also negatively impacted by nonrecurring items of NOK 24 million. So overall, the first half of '25 is characterized by the fact that we've had low volume, but still carried a lot of capacity costs. And then on top of that, we've had around NOK 90 million in nonrecurring items. As we move into the second half of the year, we expect to see a significant increase in volume, and we'll increasingly see the run rate impact of the cost reductions we have already executed. There will be further cost reductions in the second half and also some further restructuring costs. So more on that later. The revenue composition in Q2 was notably different than last year. Just like the first quarter, Hydrogen Mobility was the largest part of revenue in Q2 this year, almost half. This is a significantly higher number than last year, driven mainly by the combination of lower activity in hydrogen distribution and continued strong momentum for transit bus, which was 43% of total revenue now in the second quarter. Hydrogen distribution revenue was only 6% of total revenue in Q2, but we expect this to pick up materially in the second half of '25 based on our current order book. Another point to note is the revenue share from battery electric mobility, which continues to increase with the shipment of trucks to Hino. The main driver for the decline in year-over-year revenue was hydrogen infrastructure. We had very low demand for distribution modules in the quarter for a variety of reasons, project delays, economic uncertainty and customer scheduling being 3 important ones. Our hydrogen distribution business is partly driven by traditional industrial demand and partly by new green hydrogen demand. The traditional industrial demand was low in the first half of the year, predominantly due to economic uncertainty around global trade and regulation. In light of uncertainty, customers typically delay purchasing decisions and instead prefer to sweat their existing assets, impacting, among others, the replacement rate of older steel-based modules with Type 4-based modules with better TCO. The market for green hydrogen has been negatively impacted by the delay in new green hydrogen projects. This is both a general theme and a specific theme for us. The specific part is that some of our main customers have postponed the start-up of projects that originally were scheduled to be operational in '25. And then there is, of course, the general theme of the overall scale-up of the green hydrogen economy being pushed out a bit in time. It is moving forward, though, just slower than we expected a year or 2 ago. And as I will get into a few minutes, we have a stronger order book for the second half of this year. The year-over-year decline in revenue from Hydrogen Mobility is largely driven by lower activity in hydrogen heavy-duty truck. And for battery electric mobility, the increased activity in the quarter was deliveries of Tern RC8 trucks to Hino. This is still relatively low volume, and we're currently mainly producing demonstration trucks for customer trials. And finally, aerospace contributed positively to revenue in the quarter. This has historically been a more lumpy project business, but we're now in a period of increasing launch activity in the U.S. aerospace market, which has positively impacted our order intake in the quarter and provides revenue visibility for this application in both '25 and 2026. This could be quite interesting going forward with higher focus on defense and rapidly rising spend in the broader aerospace and defense sector, this business has the potential to grow substantially in the coming years. Looking at the product areas within the group, there are differences in the commercial momentum between the applications and also the extent to which we have forward visibility. So starting on the left, we see continued strong commercial momentum for hydrogen transit bus, particularly in Europe. This is driven by local and municipal fleet adoption of public zero-emission transportation. Since 2012, around 1,000 hydrogen buses have been registered in Europe and almost half of those in Germany. The market has good momentum, growing by around 80% from '23 to '24, and then adoption is expected to continue increasing. A new round of purchase incentives for hydrogen buses was just launched in Germany, covering up to 80% of the difference in cost of a hydrogen bus versus existing diesel alternatives. Next is aerospace applications. We see a strong increase in launch activity in the U.S.-based space exploration business. In the U.S., NASA continues to enable the commercial space industry through public-private partnerships. And we have regular deliveries to the most prominent commercial space exploration companies. And with the new geopolitical reality, we expect to see a significant increase in government spend and private sector investments in aerospace and defense. And all in all, this translates into higher demand for onboard storage cylinders and better forward visibility. In hydrogen distribution, we had weak demand so far in '25, but the order book for the second half is stronger. And we see an attractive future for our hydrogen distribution modules. There is strong regulatory support for hydrogen in Europe. And although the implementation of EU regulations in the individual nation states is going slower than we would like, things are moving forward. Not as quickly as we expected a few years ago, but there are many projects under construction and a large number of projects scheduled to come online in the years ahead. And we've got the most competitive offering for over-the-road transport of hydrogen molecules. Next is industrial gas. These are gas bundles for transporting and storing air gases for industrial applications. The actual order visibility here is relatively short, but we have many years of experience with recurring annual customer demand and typically see this as a stable business that grows in line with GDP. For battery electric trucking, we expect a slower ramp-up curve given the near-term uncertainty around trade policy and the shift in regulatory policy in the U.S. The near-term demand outlook remains uncertain. But despite the lack of support from the federal government, we see strong interest from many fleet operators in signing up for customer trials, and many individual states with California in the lead are keeping incentives in place for zero-emission medium- and heavy-duty trucks. There are around 150 different purchase incentive programs, corresponding to more than $3 billion available in U.S. and Canada at state level. In the short run, these state-level incentives are more important than the more punitive regulatory requirements put on the vehicle OEMs because it's buyer incentives that drive individual customer purchasing decisions. And finally, for hydrogen electric trucks, we have limited expectations and do not see meaningful volume in the years ahead. So beyond prototype and vehicle platform preparation work, hydrogen trucking in both Europe and North America is pushed further out in time due to insufficient hydrogen molecule availability and the required supportive infrastructure. We've had strong order intake in recent months. The order book grew 33% from last quarter and the visibility for the second half of the year is thereby significantly improved. And contrary to previous spikes in order intake, we're now seeing a broad-based increase across most of our applications, which clearly demonstrates the value of the diversification in our portfolio. The market does remain challenging for certain applications, but we expect the activity now to gradually improve in line with the current order book. And I'm particularly pleased to see the improved demand visibility for hydrogen distribution modules for the second half of 2025, which is almost 40% of our current order book. This is comforting, and it confirms our expectations from last quarter. Around 70% of the current order book is for execution in '25 and the remaining for 2026 and beyond. On the battery electric side, we expanded our relationship with Hino in the second quarter, signing an agreement to supply complete Class 6 and 7 battery-electric straight trucks for the North American market. These trucks will serve back-to-base operations in urban areas with high frequency of stop-and-go activity over shorter distances, making it an ideal application for a battery electric drivetrain. The truck complements our existing Class 8 city and regional truck offering and fits well into our operation since we will utilize exactly the same technology, equipment and facilities for both truck programs. Unlike the Tern RC8, though, this truck is intended to carry the Hino brand and be made available for general sale through Hino's extensive network of authorized dealers from 2026. And we have purchase orders for a handful of Class 6 trucks that are due for delivery at the end of this year. We're excited about adding a Class 6 and 7 straight truck to our offering since these classes are expected to have more widespread BEV adoption than Class 8 trucks. In the city, you typically have longer idle time and lots of stop-and-go, which favors battery electric over diesel. And these are very quiet and cover routes with limited range requirements, also favoring battery electric over diesel. So this is a great product. And given the synergistic nature of this truck program with the existing program, there are no meaningful additional capital needs by adding this truck to our portfolio as we will be utilizing our current machinery and capacity in Kelowna and Dallas to serve both programs. And as announced a few weeks ago, we initiated a strategic review of the BVI business on the back of the new program with Hino. We believe this business has a very promising future. So the purpose of the strategic review is to generate structural alternatives to fully leverage the growth potential of that business following the expanded relationship with Hino. This could include inviting one or more partners into BVI or finding other structural solutions. And this is part then of the overall business portfolio review to secure the company's cash runway to EBITDA and cash breakeven. As I mentioned in Q1, we have rigged our hydrogen business for continued growth, and we're carrying capacity costs that require higher volume than what we're currently expecting to achieve profitability despite the improved order intake in the quarter. Because of that, we continue to adapt the cost base to the current demand outlook, and we're planning to execute further workforce and OpEx reductions in Germany during the second half of 2025. With what we have learned through the first half of the year, we've gotten higher comfort on where we need to be cost-wise, getting the cost base where it needs to be in the short term, while also retaining the flexibility to scale up when the market conditions improve. So going into '26, we're now looking at a total cost reduction of around NOK 350 million, all else equal compared to '24, which is NOK 150 million higher than the NOK 200 million we announced in Q1. The second round of cost reduction is estimated to take the total workforce reduction in Germany and for the group overall to around 30%, including the effects of the reductions announced in February. And in parallel to the cost reductions, we continue to review our entire business portfolio. For BVI, we have the strategic review process. For HMI, in addition to the pure cost takeouts, as I mentioned on the previous slide, we're streamlining the product portfolio across several application areas, putting higher priority on the near-term cash-generative part of the product portfolio and also working on increasing operational efficiency. In China, we're working with our JV partner, CIMC Enric, to assess different measures and structures to improve the operational and financial profile of the JV. So we're looking through our entire business, and we see that we have multiple options and levers to reduce costs and to extend the cash runway. Together with the cost-cutting initiatives, we expect the outcome of the portfolio review activities to meaningfully contribute to making the current cash balance last until we reach EBITDA and cash breakeven. So that concludes the company update. And with that, I will hand the stage over to our CFO, who will take you through the financials. Salman?
Salman Alam: Thank you, Morten, and good morning, everyone. Let's have a closer look at our Q2 2025 results. In the second quarter, we posted revenue of NOK 193 million, which is 63% lower compared to the same period last year. The decline was primarily driven by significantly lower revenue from hydrogen infrastructure and secondarily from lower activity in hydrogen heavy-duty mobility. The decline was partly offset by continued high activity for hydrogen transit bus as well as an increase in battery electric truck deliveries to Hino as well as higher activity for our North American aerospace business. Total operating expenses ended at NOK 355 million in the second quarter, which was significantly lower than last year due to the lower revenue. Our cost of materials ratio was 52% in the quarter compared to 62% in the same quarter last year and was positively impacted by product mix. Payroll-related expenses were NOK 152 million in the quarter, down 22% compared to the same quarter last year, primarily reflecting the majority of the impact of the workforce reductions announced in February. Other expenses came in at NOK 101 million in the second quarter and includes NOK 24 million in nonrecurring items. Subtracting total operating expenses from total revenue, EBITDA ended at negative NOK 161 million in the second quarter compared to negative NOK 97 million in the same quarter last year. Moving below the EBITDA line. Depreciation and amortization was NOK 66 million in the quarter, up from NOK 50 million in the same quarter last year, and the increase is mainly due to the higher balance of depreciable assets compared to last year. Losses from investments in associates ended at negative NOK 3 million in the quarter, broadly in line with last year. Finance income in the second quarter was NOK 39 million, where NOK 6 million was related to interest income on bank deposits and the remainder was mainly foreign exchange fluctuations. Finance costs in the second quarter amounted to NOK 82 million, where NOK 62 million were related to noncash interest on the 2 convertible bonds we have outstanding. Another NOK 9 million is related to interest on lease liabilities and the remainder relates to foreign exchange fluctuations mainly. At the group level, we are not yet in a taxable position. So tax expense in the quarter was negative NOK 1 million. Subsequently, loss after tax ended at negative NOK 272 million versus negative NOK 221 million in the same quarter last year. Moving on to the segments and starting off with Hydrogen Mobility and Infrastructure. As a reminder, this segment is the business unit that manufactures hydrogen cylinders and hydrogen systems for storage of hydrogen on board, either off-road or on-road vehicles or for infrastructure purposes such as the distribution of hydrogen from the point of production to the point of consumption. It also includes our industrial gas business in Europe and aerospace business in the U.S. So looking at the financials for the segment. Revenue in the second quarter for the segment was NOK 164 million, down 69% compared to the same period last year. The decline is mainly driven by a significant reduction in hydrogen infrastructure revenue, which was down 95% year-over-year. As we saw in the first quarter, Hydrogen Mobility was the largest revenue component for the segment also this quarter and made up 54% of revenue. Within the Hydrogen Mobility segment, we saw continued strong activity for transit bus, but that was offset by lower activity within heavy-duty trucking. The other segment, which consists of our industrial gas and aerospace business also grew by about 20% year-over-year and made up 37% of segment revenue in the quarter. Moving to the right-hand side of the page. EBITDA in the quarter was negative NOK 76 million, reflecting the impact of significantly lower revenue, which reduced the segment's ability to absorb fixed costs. This was further compounded by a less profitable product mix. And at the same time, the full effect of the initial cost reductions announced in February are yet to flow through -- fully flow through the numbers. With the additional measures we are announcing today, we're expanding this -- the cost-cutting program, as Morten mentioned, by another 20 percentage points, bringing the total expected workforce reduction in Germany to approximately 30% compared to 2024 levels. Together, these actions represent a significant reduction in the unit's operating cost base and are aimed at enabling EBITDA breakeven at a lower revenue level going forward. Moving to the Battery Systems and Vehicle Integration segment. This is the business unit that engages in battery systems production and complete vehicle integration of battery electric and fuel cell electric vehicles for the North American market. We also have a complete suite of proprietary key components required for electrification of heavy-duty trucking. Revenue for the segment in the second quarter was NOK 25 million, up from NOK 2 million in the same period last year. The increase was mainly driven by deliveries of battery electric trucks to Hino as well as battery systems supplied to Toyota Motors North America. For BVI, 2025 is focused on building and delivering initial vehicles for customer demonstration programs, which are ongoing and will continue throughout the year. This includes both the Class 8 program announced last year and the recently launched Class 6 program, both in collaboration with Hino. As a result, we expect BVI to be able to deliver higher revenues this year compared to last year. EBITDA in the second quarter for the segment ended at negative NOK 31 million, which is an improvement compared to last year, driven by higher revenue and reduced operating costs following the workforce reductions that we effectuated earlier this year. Zooming out again to the group level and turning to the balance sheet. The balance sheet at the end of the second quarter amounted to approximately NOK 4.3 billion. That's down from around NOK 4.5 billion at the end of the first quarter of this year. On the asset side, most line items remained relatively stable with a modest increase in inventory as you ramp up for the significantly higher activity that we're expecting in the second half of the year compared to the first half of the year. Cash at the end of the second quarter stood at NOK 527 million. And on the liability side, noncurrent liabilities increased slightly, mainly reflecting the payment in kind interest structure on our convertible bonds. The equity ratio at the end of the second quarter was 33%. Moving on to the cash flow statement, which reflects the movements in the balance sheet and P&L. The operating cash flow in the quarter was negative NOK 197 million, which was mainly impacted by the operating losses in the quarter, combined with some working capital build to cater for higher activity level in the remainder of the year. Cash flow from investments ended at negative NOK 62 million, where most of the final payments related to the capacity expansion program now has been disbursed. Cash flow from financing and currency movements was negative NOK 8 million in the quarter, resulting in a net cash flow of negative NOK 262 million and a cash balance of NOK 527 million. Generally, the cash outflow in the first half of the year has been significant, but broadly as we expected when we entered into the year. This is due to lower revenue. And in addition, we've had restructuring costs related to downsizing. We've had spillover CapEx from 2024, and we've also had limited working capital release due to the low revenue. Cash outflow is expected to be materially lower in the second half of the year, supported by a stronger order backlog that underpins higher revenue, lower costs as the cost reduction programs take effect, reduced CapEx and increased working capital release, especially towards the end of the year and in Q4. Taking all of this together, these factors should result in lower cash outflow over the next 6 months compared to what we've seen in the past 6 months. With that, I'd like to pass it over to Morten to walk us through the outlook.
Morten Holum: Okay. Thanks, Salman. So let's take a look at what we expect ahead. We entered the second half of the year with significantly improved revenue visibility, supported by a strengthened order book. On the Hydrogen Mobility side, we have strong commercial momentum in transit bus, where we also see continued strong tender activity in Europe for 2026. In Hydrogen Infrastructure, we'll have a strong uptick in the second half of the year, and we've also initiated customer dialogues for volume in 2026. We expect the overall volume to still be significantly lower than in '24, but we will also enter next year with significantly lower costs and a lower breakeven point. So we aim to get this business back to EBITDA profitability in 2026. For Aerospace, we have a strong order book and good revenue visibility for this and next year. And we also expect the industrial gas business to continue performing as usual, although the order horizon there is relatively short. On the battery electric mobility side, we have limited short-term visibility. The truck market in the U.S. is overall weak. We see that for diesel and natural gas as well, given all the uncertainty around regulation, emission standards and tariffs. We will continue to deliver a smaller volume of trucks for customer demos. And although the feedback so far has been great, we still expect it to take some time before larger orders eventually come in. Overall, our comfort level has improved significantly through the second quarter, in line with growing order intake, particularly since the uptick is not limited to a single area, but a more broad-based increase across multiple applications. We're laser-focused on our priorities and continue to adjust our business and operations to a new reality. There is no magic to this and it's not 1 or 2 steps that will take us there, but a long series of individual actions that together result in meaningful shift in the forward trajectory. We continue to adjust our cost base to lower volume expectations to lower the breakeven point of the business. And we also continue to review our business portfolio across all the individual components, big and small, to focus on our operation around the most attractive parts of the business with good near-term profitability and cash prospects. And we put the highest priority on cash to secure our liquidity runway. We expect, as Salman said, significantly lower cash burn in the second half of the year than in the first half. We have higher volume. We'll have lower cost as the cost measures start to take effect. We will have limited CapEx spend. And with the volume increase, we will be able to release capital that is currently tied up in inventory. Our overall target is to secure the cash runway, make the current liquidity last until EBITDA and cash flow breakeven. We have many levers and multiple ongoing cost and portfolio processes to take us there. We remain focused on the things that are under our own control, action by action. And we're confident that those actions in sum will secure a good future for Hexagon Purus. That concludes our presentation for today, and we will now open it up for Q&A. Mathias?
Mathias Meidell: Yes. Thank you, Morten. So we could just jump straight into it. So the first question is for you, Morten. How big is the order from Hino trucks?
Morten Holum: So the truck program is not a program with a guaranteed order to have that said. So it's a program that you are selected for and then the volume of that program depends on how the trucks then sell out in the market. But given the Class 6 program, given the size of that market and the attractiveness of the battery electric platform in that segment, this could be a very sizable contract in the end.
Mathias Meidell: Thank you, Morten. And then another question for you from Joe Burns. What makes you confident to reach positive cash flows before running out of sufficient cash in hand?
Morten Holum: Yes. So I think we will now have significantly lower cash outflow in the second half of the year. This, in the end, depends on the fact that we now see business picking up. It's been very weak in the first half of the year. And of course, the majority of the outflow of cash now have been operating losses. We now enter the second half of the year with somewhat lower cost. We will enter '26 with significantly lower cost than what we have had. And so we've rigged the business not to drive any operating losses. And then I think we have all of these other measures in terms of looking through and pruning and improving our portfolio. And then together, all of those things we look at in the end, we see many avenues that takes us where we need to go. So I think it's a combination of several things, not just one. But of course, most importantly is now the order book is growing, volume is coming up, which will get us to a profitable level on EBITDA instead of being something that drains cash.
Mathias Meidell: Thank you, Morten. And then a question here from Martin. You are speaking of a strong order intake in Q2. Looking at your press releases in Q2, I only see one order from MCV. Which other orders did you get in Q2? Are you not allowed to talk about them, Salman?
Salman Alam: Yes. So we -- the order intake in the second quarter was broad-based, as Morten said. So it was really across several applications, and there was some of -- a lot of -- some larger orders and some smaller orders. But there was none of those orders that were of a magnitude that warranted a separate stock exchange release.
Mathias Meidell: Thank you, Salman. And then a question for you, Morten. Regarding your reduction in workforce, will you need to invest CapEx to come back to the old production capacity? Or would it just be expanding workforce again?
Morten Holum: Yes. So we retained the overall facilities that we have and the equipment that we have invested in. So it's a matter of workforce to scale up. So we will be able to scale back up again, and it's a matter of hiring and training people.
Mathias Meidell: Thank you, Morten. And then a question for you, Salman from Anders Rosenlund. At what annual revenue level do you expect to go breakeven?
Salman Alam: Yes. We wouldn't want to comment specifically on that today. But generally speaking, the actions that we're taking this year when it comes to the cost cuts are aimed at getting us to EBITDA breakeven with the volumes that we are expecting in the foreseeable future.
Mathias Meidell: Thank you, Salman. And that was actually the last question of today. So thank you both. And thank you, everyone, for dialing in this morning and listening to us. I wish you all a great summer, and we look forward to seeing you again soon. Have a nice day.
Morten Holum: Thank you.